Operator: Good afternoon and welcome to Arthur J. Gallagher & Company's First Quarter 2018 Earnings Conference Call. Participants have been placed on a listen-only mode. Your lines will be opened for questions following the presentation. Today's call is being recorded. If you have any objections, you may disconnect at this time. Some of the comments made during this conference call, include answers given in response to questions, may constitute forward-looking statements within the meaning of securities laws. These forward-looking statements are subject to certain risks and uncertainties discussed on this call or described in the company's reports filed with the Securities and Exchange Commission. Actual results may differ materially from those discussed today and the company undertakes no obligation to update these statements. In addition, for reconciliations of the non-GAAP measures discussed on this call as well as other information regarding these measures, please refer to the most recent earning release and the other materials in the Investor Relations section of the company's website. It is now my pleasure to introduce J. Patrick Gallagher, Chairman, President and CEO of Arthur J. Gallagher & Company. Mr. Gallagher, you may begin.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thank you very much. Good afternoon everyone and thank you for joining us for our first quarter 2018 earnings call. With me today is Doug Howell, our Chief Financial Officer, as well as the Heads of our operating divisions. As I do each quarter, I'm going to touch on the four key components of our strategy to drive shareholder value. These are, number one, organic growth, we are an aggressive sales team; number two, growing through mergers and acquisitions; number three, improving our productivity and quality; and fourth, maintaining our unique culture. We had an excellent start to 2018. During the first quarter, we delivered strong total revenue growth, excellent organic revenue growth, steady growth from our tuck-in merger and acquisition strategy and continued margin expansion. This puts us in a great position for another outstanding year. Let me start with some comments about our Brokerage segment. First quarter organic was 4.9% all in reflecting strong growth across all of our divisions globally. Let me give you some more detail. In the U.S., our Brokerage business generated 4.5% organic in the first quarter, with retail up 4% and wholesale up 7%. U.S. property casualty pricing was a modest positive across many lines during the first quarter. Property and commercial auto are seeing the largest price increases up 3% to 5%, casualty and specialty lines are flat up 2% while workers' comp is flat to down about a point. Insured exposures are trending higher which is consistent with recent data points of U.S. economic activity. So far in April, pricing is similar to the first quarter with some upward movement in property and commercial auto. Internationally, property casualty organic growth was about 6% in the quarter. Australia, New Zealand were up around 6%, Canada was about flat and our UK businesses generated organic of about 8%. Property casualty insurance pricing in Australia, New Zealand is in the mid-single digit range with strength across all classes. Our UK and Canadian operations are seeing a flattish pricing environment while rates in our London specialty operations seem to be nearing a bottom. Our employee benefits business also had a strong quarter, generating organic revenue growth of around 5%. So when I sum it all up around the world, it looks like rate and exposure together are giving our organic growth a slight positive tailwind, call it a bit below 1%. This is a change from a year ago when rate and exposure were flattish or a modest headwind. This bodes well for 2018, which means we should be able to post similar or slightly better organic than we did in 2017. Second, mergers and acquisitions. In the quarter, we completed six brokerage acquisitions, which should add about $27 million of annualized revenue. These new partners see our vast capabilities, they embody our culture and they see themselves being more successful together with Gallagher. I would like to thank all of our new partners for joining us and I extend a very warm welcome to our growing Gallagher family of professionals. Looking forward, our merger and acquisition pipeline is full of many attractive tuck-in opportunities, totaling about $400 million of revenue, associated with almost 60 term sheets either agreed upon or being prepared. Now, we don't expect all of these acquisitions to close. However, we believe, we will get our fair share. Third, productivity and quality. Adjusted EBITDAC margin was up 49 basis points in the quarter, a really nice result on organic of about 5%. The Brokerage team is working hard to find efficiencies across the organization and further leverage our scale. We discussed a number of opportunities at our March Investor Day, including optimizing our approach to small business, harmonizing our management systems and further improving through standardization and automation. All these will help us become better, faster and deliver higher-quality service to our clients. So for the first quarter of our Brokerage segment, we delivered 8% total adjusted revenue growth of which 4.9% is organic, adjusted EBITDAC growth of 9%, and adjusted EBITDAC margin of 34.8%, up 49 basis points over the prior year. Another really, really solid performance by the Brokerage team. Next, I would like to move to our Risk Management segment, which is primarily Gallagher Bassett. First quarter organic growth was 7.7%, domestic organic was 5%, while international posted over 20% fueled by an excellent new business quarter. The Gallagher Bassett team recently returned from the annual RIMS conference where we hosted more than 100 prospect and client meetings over the course of three days. The team showcased advancements in LUMINOS, our leading risk management information system and launched several new products at RIMS. For example, we rolled out GB Care, our best-in-class workers compensation medical management platform and GB Litigation Defense, our comprehensive defense counsel performance score card just to name a couple. Overall, RIMS was a very successful event and further demonstrated our analytical outcome focused approach to claims management. So with organic over 7% in the quarter, an exciting array of new product offerings, some nice specialty mergers in the pipeline and a sense of excitement and momentum after RIMS, we see our Risk Management segment posting mid-single digit organic and margins in the mid 17% range. And finally, I'll touch on our true differentiator. Number four, our culture. Just a few weeks ago, Gallagher was recognized by the Ethisphere Institute as one of the World's Most Ethical Companies for the seventh year in a row. We are the sole insurance broker recognized and we are honored to be one of only 135 companies globally to receive the award. Seven years in a row of receiving this prestigious award is a testament to our professionals who dedicate themselves to delivering the highest level of expert advice and quality service, all grounded in the Gallagher way, a list of 25 key tenets and values that articulate our unique culture, a culture that is grounded in teamwork, ethics and outstanding client service across our 27,000 sales and service professionals around the world. Okay, a really strong quarter, a terrific start to the year. I'll stop now and turn it to Doug. Doug?
Douglas K. Howell - Arthur J. Gallagher & Co.: Thanks, Pat and good afternoon everyone. As Pat said, what a terrific start to 2018. So today I'll spend most of my time reviewing the CFO commentary document that we post on our website. Also, as an overarching reminder, all the numbers in our earnings release, our investor supplement and the CFO commentary documents have been restated to reflect the implementation of the new accounting standards for revenue recognition. We hope the materials we provided in connection with our April 11 special investor call were helpful as you updated your models. Today before I plunge in, in the room today as we have been for the last 15 years and each and every one of these quarterly calls is Jack Lazzaro. Today marks Jack's 40th anniversary with Gallagher. Jack is our global treasurer and CFO of our clean energy efforts. Jack has held about every finance role at Gallagher over the last four decades. He was instrumental in our IPO, he let our implementation of Sarbanes-Oxley and he was one of our handful of folks that helped launch our clean energy efforts. A sincere thanks Jack for all of your hard work and dedication. Okay, let's move to page two of the CFO commentary, some takeaways from page two. First, it's still looking like we'll get a small tailwind from FX this year based on current exchange rate. Second, you'll see that we did have some additional lease termination cost as we optimize our footprints around the world. We might have some later in the year also, but we don't have an estimate at this time. And third for the first time in a number of years, we have absolutely no integration costs. This is really nice work by the team to get those efforts squarely behind us. Let's get to page 3 to the Corporate segment. We are now providing our quarterly estimates for the remainder of 2018. That's the far right pink columns. Recall that we only provided full-year estimates during our March 14th Investor Day as we had not yet released our restated new GAAP numbers. Those March 14th numbers are shown in the grey columns. Here are the takeaways on page three. First, compare the March 14th full estimates on the grey box to the full year pink box at the bottom of the page. You'll see that our full year estimates have not changed dramatically for three of the five lines. There's no real change on the clean energy, M&A or corporate lines. As for the interest expense line, you'll read in footnote 2 that we plan to close the debt offering in late June. Accordingly, we have updated our estimate for interest expense for the third and the fourth quarter. And finally, you'll see a line called impact of U.S. tax reform. As we digest the new tax legislation, technical corrections interpretations and lawmakers consider amendments. We could be refining our December 31st, 2017 estimates as well as more fully understanding future effects. Accordingly, we will have some tweaks over the course of 2018, as we did here in the first quarter. The important takeaway is that these items regardless of their book expense or a book benefit, they most likely will not impact cash taxes we pay. This is because we have our clean energy and AMT tax credit carry-forward, about $730 million at March 31st in fact. So we will not be paying much of any U.S. federal income tax for many years to come. So this quarter, it's a small book expense, but not really a use of cash. While we're talking about cash at the end of March, we had around $350 million of available cash on our balance sheet. We'll get another net $400 million from our debt offering in June, and also our cash flows for the rest of the year are traditionally stronger than in the first quarter. So we should have plenty of cash for M&A this year. Few other comments as you build your models going forward. First, the Brokerage segment adjusted margins were up 50 basis points in the first quarter and 4.9% organic growth. As I already said in the past probably won't have margin expansion if organic is below 3%. You should see some margin expansion if organic is over 4% and probably flattish margins in between; second, Risk Management adjusted margins. You'll see in the footnotes in the earnings release that we would have posted about 17.2%, but we have a small make-whole settlement on a claim that costs us about $1.5 million. We really hate these things. They don't happen very often, but are nearly $10 billion of claims that we pay annually from time to time, we don't get it exactly perfect. Looking forward, we're still targeting margins in the mid-17% range for the rest of the year. So those are my comments, it's clearly a great start to the year. Looking ahead at it together 5.3% combined organic growth in our Brokerage and Risk Management segment was solid margin expansion, an extremely active merger pipeline with 300 tuck-in opportunities on our deal list, a strong cash position and we have an unstoppable culture. Clearly, you can hear that I'm excited about the rest of 2018 and beyond. Back to you, Pat.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Doug. Omer, let's open it up for questions now and hopefully some answers.
Operator: Our first question comes from Elyse Greenspan, Wells Fargo. Please proceed with your question.
Elyse B. Greenspan - Wells Fargo Securities LLC: Hi. Good evening. My first question, so pretty strong organic growth quarter about 5% in Brokerage. Doug, I remember in March you had said that the Q1 might seasonally be a weaker quarter. I'm not sure it maybe that change when you adopted revenue recognition, but it seems like you're meeting your guidance kind of in line with the full year level, which is about 4.4%, so what could change or is it just you know embedding a level of conservatism, and will the Q1 still seasonally be a weaker quarter post rev rec?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Three things on that. As I think that with a such a heavy weighted new GAAP first quarter, we probably won't see that kind of lower seasonality in the first quarter that we had in the past. But it will take us a year or two years probably to figure that out. In terms of our guidance going forward, I think, what the rate tailwinds that we're seeing, exposure growth growing, you know, a little tailwind for that I think, that we'll see a full year 2018, a lot like 2017, but a little bit better. So if we're in the mid 4s, maybe we're in upper 4s, this will be added to interpret that at this point.
Elyse B. Greenspan - Wells Fargo Securities LLC: Okay. And then in terms of margin, so about 50 basis points of margin expansion in the quarter, nothing that you would call that's one-off there, so meaning if you know organic kind of was in line with the first quarter level, would you expect the same level of margin improvement for the rest of the year or just somehow the shifting of more employee benefits to the Q1 impact the margin improvement in the first quarter compared to other quarters?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Okay, a couple questions there. Yes, maybe may be a little bit fueled by the strong employee benefit first quarter, but you know, maybe 10 basis points, something like that. Looking forward, we typically see most of our margin expansion that happens in the first half of the year. And then in the second half of the year, if we get into mid-year raises or whatever, we don't see quite as much margin expansion in the last half of the year. But I think that for above 4%, there's some opportunities that continue to expand margins there.
Elyse B. Greenspan - Wells Fargo Securities LLC: Okay. And then one last question, so you pointed to the strong cash position and you guys are adding some debt this year. So yeah I mean I know this is a question that's been asked in the past. If deals don't materialize that would use the available cash that you will have, which will include proceeds in the recent offering. I guess when do you think you get to the point where share repurchase I think maybe becomes something that moves higher up on the list or is the pipeline that strong that you could just see it using all of your cash on hand during the remainder of this year?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: The pipeline is that strong. In the event that we do have excess cash for the end of the year, we would repurchase stock, but our pipeline is pretty strong right now.
Elyse B. Greenspan - Wells Fargo Securities LLC: Okay. Thank you very much.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thank you, Elyse.
Douglas K. Howell - Arthur J. Gallagher & Co.: Thanks, Elyse.
Operator: Our next question comes from Mark Hughes, SunTrust. Please proceed with your question.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: Yeah, thank you. On the pipeline question, I think you said $400 million. Am I my right, remembering it was about $300 million last quarter, is there usually a seasonal uptick in that or is that just underlying strength and if so, what's going on?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: It wobbles all over the place, Mark. We're constantly out talking to people. Some take 10 years to close, others you can get done in six, seven months, so it just – it rises and falls with the people that are coming on and off the list. There's no real magic to it.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: It is the...
Douglas K. Howell - Arthur J. Gallagher & Co.: Closings tend to be a little slower in the first quarter because there's usually a push to get something done by year-end. So historically we've closed more deals in the last three quarters of the year than in the first.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: And is the debt raise, is that a reflection of your increased optimism? Would you have done it regardless if you weren't seeing the strength in the pipeline?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: I think it's our confidence in the pipeline.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: And then, the contingents were – you had a nice lift last quarter and then were down a little bit this quarter. How should we think about those on a go-forward basis?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Yeah. I think that listen, we would have – I think if you add supplementals and contingents together, we're at somewhere around about $85 million compared to $83 million last year, up about 2.3%. If we would have had another $1 million, $1.5 million, we would have been about 4%. I wouldn't read too terribly much into that at this point. But, they're growing 2.5%. Maybe next quarter they'll grow a little more or right in that same range. So I wouldn't overthink it too much.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: Thank you.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Mark.
Operator: Our next question comes from Greg Peters at Raymond James. Please proceed with your question.
Charles Gregory Peters - Raymond James & Associates, Inc.: Good afternoon. Thanks for the call.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Good afternoon.
Charles Gregory Peters - Raymond James & Associates, Inc.: A couple questions. First of all, Doug, back to your opening comments. I don't want to parse words here. You talked about the 50-basis point improvement in margins and the fact that 3% organic and you can't expand margins 3% or less in organic growth. It seemed like the language changed a little bit though because now all of a sudden, you threw out this 4% bogey that you can expect margins to expand beyond 4%, but not really below 4%. So maybe I just misheard it or you can clarify that.
Douglas K. Howell - Arthur J. Gallagher & Co.: No. I think, you've heard – I don't – I have said it a couple times before, but we're in that range right now where as we look the way our margins are positioned, we have opportunities to reinvest in the business in certain areas that we think will fuel growth. And so at 3% pretty tough to do, at 4%, it kind of just happens in between, one quarter it might be up a little bit, one quarter might be flat. But I – so the words change probably compared to where we were three or four years ago, but in the last couple times we've had a chat about, that's kind of where we feel right now. Obviously, if we had sustained 3.3% organic growth for the next five years, you'll probably see some natural growth in margins, but you also have to look at wage inflation, cost inflation, so that's why I was saying probably in that 3% to 4% range, flattish, up a little bit or flat is probably where we are. Over 4% I think it just naturally happens.
Charles Gregory Peters - Raymond James & Associates, Inc.: Perfect. Thanks for the clarification. And then I wanted to go back to just the pipeline. It really seems to be like you're laying out a pretty positive outlook there. And so every time, we turn around and talk to others in the marketplace, we hear about just such intense competition for M&A, and we hear about private equity involvement. And so I'm trying to bridge the gap between intense competition around price for M&A. And then you're growing pipeline, and I'm wondering maybe if it ties in with the interest deductibility in tax reform or what variables there are helping to drive your more positive outlook on M&A for 2018?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Greg. This is Pat. Primarily a couple things. First of all, the capabilities that we've developed are second to none. And so if you're going to look at a private equity roll-up or something like that, the cash numbers are what they are. If that's the direction you want to go in, great. But if you really are excited about expanding your business, if it's something that you love this business, you love to sell, you've been in a town, you've had a small firm and you can't walk into the university and start talking about their insurance. You're not going to get past the first door. We do a ton of those types of accounts. There's not an account on the planet right now anywhere in the world of any size that we can't do and that turns people on. The analogy I use all the time is when you come for a visit, I am going to show you the candy store and there's people who buy into that. And then, secondly these folks, many of them are hypersensitive to culture. They want to land their people in a place that feels like them and you can't do that in a private equity world. So we don't win them all and I'm not sitting here today with this pipeline saying, we're going to close them all, but we're competing on a different story and when that story resonates with people, by the way we're not asking them to give up a boatload of money, we will help them sell and grow and they'll make their earn out. So it's not like we're not competitive. But, the fact is the people who buy into those two things tend to join us.
Charles Gregory Peters - Raymond James & Associates, Inc.: Thanks for that color. And one final question for you. Doug, in your CFO commentary when we get back to the grey or – I forgot grey boxes or pink boxes as it relates to the Corporate segment. And I look at the bottom numbers there for the full year. It looks like you've lowered the range from a loss of $21 to a gain of $1 to a loss of $42.4 to a loss of $19.4. Am I missing something there? Is that all of the interest expense or is there something else there?
Douglas K. Howell - Arthur J. Gallagher & Co.: Yeah. If you look at the five lines, clean energy hasn't moved hardly at all. Corporate hasn't moved at all. M&A hasn't moved at all. It's the additional interest expense that we will get on the new debt and then we have the $6 million impact of tax reform. Those are the two lines out of those five that have shifted.
Charles Gregory Peters - Raymond James & Associates, Inc.: Perfect. Thanks for the color.
Douglas K. Howell - Arthur J. Gallagher & Co.: Sure.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks.
Operator: Our next question comes from Kai Pan, Morgan Stanley. Please proceed with your question.
Kai Pan - Morgan Stanley & Co. LLC: Thank you and good afternoon. So my – I just want to follow-up on both revenue growth, organic growth as well as the margin. On the organic front, Pat, you mentioned like this year probably about 1 point of tailwind and last year about 1 point of headwind. So the delta is about 2 points, so why 2018 would be 2 points or are much higher than 2017?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Well, Kai, first of all, I think you know where I come from on this. When I'm just short of a point up and I'm just short of a right at a point down, to me that's flat. It's helpful, it's not hurtful. And really what it does is it lets us go out in the marketplace and sell these capabilities. When you're in a historically old stock market and prices are dropping 10%, 15%, someone that has no real capabilities can lob a quote under the table that kills you. So this is a perfect market for our organic growth, for our people to be outselling, the things that we do so darn well and not have get whacked on the side of a head by a quote you never saw coming. But one point up, one point down, frankly that – to me, that's flat.
Douglas K. Howell - Arthur J. Gallagher & Co.: I think that technically a year ago, we were probably flat. We probably didn't have much lift or pressure from that. That's really what our comments were, and then we're up – we're seeing about up 80 basis points right now. So it's really not 2%, it's 1% down the year.
Kai Pan - Morgan Stanley & Co. LLC: Thanks. Great. And then, specifically in the UK, you're up 8%. We saw some of your peers actually have some challenging in the UK. I just wonder what were you doing differently there, or that you just compete in the different markets? I think we're probably in different markets in some of those. Our specialty operation in London has done just an outstanding job of growing through a soft market. It's been quite remarkable, actually especially operation, including our brand, Alesco, have just really, really delivered. So it's that they've been very strong. Our retail operations across the UK are sort of flattish, but together they had a great quarter.
Kai Pan - Morgan Stanley & Co. LLC: Okay. Then on the margin front, so just want to trail down a little bit more. And so you said like you wanted to like grow 4% or more in order to have a margin expansion. If you think of wage inflation in typically, say, 2% to 3% range, I just wonder do you see more wage pressure as well how much do you think you will need additional investment to grow the business?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: All right. It's couple of questions there. Wage pressure is there and then we also – we have an outlet for that though with our Offshore Centers of Excellence. We have the ability to move more work into lower cost labor location. So that helps us control the wage inflation that you see in the UK, the U.S., Australia and New Zealand, a little bit in Canada. In terms of other cost pressures, yeah, just consumable they are not a big portion of what we do. We have some debts in chairs and office equipment and communication. There's still efficiencies that we can be gained there. So the real place comes in, the wage inflation and for us our challenges become more productive, use technology more to our benefit and we think that will help control the cost side of the equation. In terms of opportunities to invest in growth, we're seeing that all over in our organization, people are using data more. They're using creative advertising and direct marketing techniques. So there's opportunities for us to use to channel some of that, well I would call services expense and channel it back into organic growth, fueling type exercises. So that's what we're seeing inside the organization.
Kai Pan - Morgan Stanley & Co. LLC: Okay. That's great. Last one if I may on the acquisition, you mentioned there competitions for acquisitions, but if you look at first quarter, the multiple you paid are actually lower than your guidance range. I just wonder, what's behind that. And also I just wonder, if you can comment on, there's recent broker IPO, and it seems like in pretty fast growing personal line area, I just wonder if that's a market that you will be interested?
Douglas K. Howell - Arthur J. Gallagher & Co.: Yeah, I think, I think we are below seven times on our acquisitions this quarter. I think that those were smaller mergers, and I think the price we paid is fair in light of our operations, but I don't know for whole below 7% going forward, I think it will be up probably average closer to 7.5 or 8 times in the next quarter. In terms of the – the recent personal lines IPO, I read the red herring, I look that the price come out on it, that personal lines, we do a lot of personal lines.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: And we want to do more personal lines.
Douglas K. Howell - Arthur J. Gallagher & Co.: Yeah. And so that's – that, those businesses if they fit with us, we'd would be interested in.
Kai Pan - Morgan Stanley & Co. LLC: Okay. Great. Well thank you so much, and good luck.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Kai.
Douglas K. Howell - Arthur J. Gallagher & Co.: Thanks, Kai.
Operator: Our next question comes from Josh Shanker, Deutsche Bank. Please proceed with your question.
Joshua D. Shanker - Deutsche Bank Securities, Inc.: Thank you. I can't remember, whether it was three months or six months ago but on this call, you had said that you set your teammates down and you said look we have to have a conversation with our clients. They should expect rate increases coming through and we're now six months past the hurricanes. To what extent is that materializing as planned? Two, to what extent are those rate increases hurricane related and after we get through the reactionary price increases associated with the hurricanes we re-enter a stable market?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: So I think first of all, yes it is mostly hurricane-related property, non-cat exposed is up, cat exposed where there were losses are up probably 10% to even a little bit more than 10%. And those that are not cat exposed that didn't burn the market, you're still looking at 3% to 5%. And I think that when you think about where the rates were pre-hurricanes, they were as low as they've been in over a decade. So I do think that the rate increases are justified, they are selling in the market now. Some of the quotes that originally came out at more like 20%, 25% increases are that those aren't going to hold. But I don't see a return to a vast soft market anytime quickly. Once the balance sheets have had a chance to heal a little bit and the wind doesn't blow, then you'll see the rates come down again.
Joshua D. Shanker - Deutsche Bank Securities, Inc.: And do you expect to see year-over-year rate increases come 4Q?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: I do. And I see that also in particular. It's really interesting. When I started, hard and soft markets were across the entire spectrum. This is a bunch of markets inside the – by line. So comp is down a little bit. Well it deserves to go down. And then you have transportation is up somewhat. Well guess what, in particular, distracted driving is crushing the market. So these markets are moving as they should, based on the results by line.
Joshua D. Shanker - Deutsche Bank Securities, Inc.: Smart. Thanks for the color.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Josh.
Operator: Our next question comes from Paul Newsome, Sandler O'Neill. Please proceed with your question.
Jon Paul Newsome - Sandler O'Neill & Partners LP: Just a couple of quick follow-ups on the pricing environment. There's lots of conversation, and I don't know if it's real or not, about historically the small market being sort of the least competitive and that changing of late. And I was wondering if you're seeing any of that yourself. And then, somewhat similarly also pricing commentary, and I don't know if it's true or not is that month-by-month, it's getting little bit better every month and I don't know if that's true either and whether that's your experience as well.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: No, here's the thing. It varies. As I travel the network globally, it varies. So in Australia, for instance, you're seeing kind of mid-single digit range kind of almost everything's up. You get to the London specialty market and we think we're getting close to bottom, but there's still a tad bit of softness there. Then you travel around the United States, it's tougher in Florida and in Texas than it is in Illinois for sure. But I think it's really – well, when you step back from it, I continue to come back at this with you guys on these calls. Rate is really not impacting our results much. When you spread it across all that we're doing, some is up, some is down, but it's in this range of okay, cat property's up, that's nice, and that's necessary. But it's really a flattish market, and it has been for about eight years. Now, I'd also tell you down 3% up 3% I'd tell you is flat. I'm not going to lose an account, frankly, for 3%, but I'll lose an account for 23% and I think that when I'm at 3% up, 3% down which is now 1% up, 1% down, I can sit there with a client and talk about the fact that we've provided unbelievable service beyond the price of insurance. The things that we do to help their business and help them grow their business on the property casualty side or become a destination employer on the benefit side, that's really meaningful to them. It's not just about the price. So to me it's kind of the perfect environment.
Jon Paul Newsome - Sandler O'Neill & Partners LP: I have one other question that's completely unrelated. On the Risk Management business, is there anything that would affect that market, especially the relationships you're trying to build with the carriers that's related to the M&A that we're seeing in the market and a little bit of a changing landscape amongst the carriers, does that have any impact in your Risk Management business?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: No. I think in fact it could be helpful. For 100 years, I've been asked why Gallagher Bassett? Why do you stick with the claims business? Marsh got out of the TPA business, Anne really didn't like the business. Why are you hanging in there, especially on the property casualty side TPA. Well, here's the reason. You have billions and billions and billions of dollars of premium and every year about $0.60 on the dollar turns into a claim. So if you're going to be helpful and you're going to really do a job for someone and you neglect the claim side of it, I think you miss an opportunity for our shareholders and you miss an opportunity to be really distinct in the market. The fact that markets are consolidating, the fact that they're getting better and better at their own data, and the fact that we're driving the belief that our outcomes are superior and we're willing to put up our numbers. This is a – if you want to do as of dates off our system, et cetera, et cetera types of claims, parts of body, geography, what country, we can do that. And I believe that the next generation of CEO is not going to feel that their claim department is the be-all and end-all. They're not going to say I can't outsource any of this because they will do a bad job. And I think that when it gets to a point where they're really looking at their returns and their ROE, they're going to have to say maybe there's a better way to do it. And so no, I don't see the – the consolidation is not going to take claim work away. It's just going to put it into one bigger house.
Jon Paul Newsome - Sandler O'Neill & Partners LP: Congrats on the quarter. Appreciate the call.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Paul.
Operator: Our next question comes from Arash Soleimani from KBW. Please proceed with your question.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks. I guess just the first question to what extent would you say there are opportunities on the free cash flow side to drive improvement there through working capital management for example?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Good question. We've been working on that a lot. We said we consolidate our bank accounts, we've improved our international cash flow, in particular, free cash in particular because when we did the four or five larger international acquisitions, we went through a consolidation effort and that's really paid off and generated a lot of cash. Where are we in the U.S., that's pretty mature at this point. So I don't see further working capital generation in the U.S. We've got a little ways to go yet internationally on that, but I think the big push on that that we start talking about 2 1/2 years ago was pretty well behind us.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks. And the $6 million adjustment you mentioned for tax reform it shows up in Corporate. It didn't look like that got backed out of adjusted this quarter. I just wanted to make sure I understood why.
Douglas K. Howell - Arthur J. Gallagher & Co.: Yeah. Good question. (00:37:27). But there's some component in there that's an adjustment for our estimates at 12/31. There's a smaller component in there that might be a continued run rate if we don't get some technical corrections done. But I probably – we'd probably could put as an adjustment but we just thought that since it was commingled be it just put it where it is, and call it out.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Right. Perfect, thanks for the answers.
Douglas K. Howell - Arthur J. Gallagher & Co.: Thanks, Arash.
Operator: Our next question comes from Mike Zaremski, Credit Suisse. Please proceed with your question.
Michael Zaremski - Credit Suisse: Hey, gentlemen. Couple of quick follow-ups on Gallagher Bassett. It's a Paul's question, where growth continues to be very strong. I guess then can you remind me how to think about how you guys think about your market share because I'm assuming you don't think every insurer thinks as, Pat, you think the next generation will think and some of them think that claims handling is a competitive advantage. And I guess it's along separately, can you remind us if there's something structural there regarding margin so that there's less operating leverage in that segment for certain reasons.
Douglas K. Howell - Arthur J. Gallagher & Co.: I'll let Doug handle the margin side of it because the answer to that is yes, it's very labor intensive, but I'll talk to you about the – what I see the business opportunities to be. First of all if you take a look at Gallagher Bassett paying $10 billion of claims out in a year, that market share is nil, it's zero and it's unbelievable. You've got about $5 billion according to Insurance Information Institute. There's about $5 trillion of premium in the globe and that's including life, health and everything else. Property casualty, you'd know the number better than I. But when you take 60% of that number, let's just call it a trillion, we are we are so far from having any market share which is a beautiful thing. So, you're right. Not every CEO is going to start thinking the best thing in the world to do is outsource. But it's a fast growing part of Gallagher Bassett's business. It's become very, very meaningful. We've organized around it as a separate segment for Gallagher Bassett, and I think there is huge opportunity there. When I have some of my partner market meetings at places like the Broadmoor RIMS and talk to some of our markets and I'll say to them what you don't realize is that Gallagher Bassett pays more claims than you do. And some of these are household names and they'll go, no. I'll go, yeah, no, we actually do. And we have more money to invest in our systems, new products, the things that I mentioned in my commentary today than you do and it's kind of a shocking silence. So, I think that's just over the next 20 years, 25 years, gets stronger and stronger. And I do think the business outsourcing model, it won't dominate, but I do think in the long run, it will prove to be a better model and those CEOs are not going to be able to overlook the return.
Douglas K. Howell - Arthur J. Gallagher & Co.: And remember also, we're not trying to pick up their entire claim handling organization. What we're doing is we're going into deep verticals where we can prove, we can customize the claim delivery, we can deliver it in the way that they want with our expertise behind it, we provide great career paths inside of this for the adjusters and the specialists. And so as a result, in a deep vertical, we can provide superior claim outcomes. It is a – it's not as geared leverage wise. If you think about the Brokerage business, 50% to 70% of the growth can possibly hit the bottom line organically. In the Risk Management business, you're probably looking at 30% of it, you can hit the bottom line. It's because it's still a labor-intensive business. But our automation, our scale are coming on and it's allowing us to continue. I mean, if you go back four or five years ago, I think our margin in that business was 13% or 14%. So there has been margin improvement in it.
Michael Zaremski - Credit Suisse: And so, then if we think about longer term as, is this segment where Vishal Jain and his team, there's more to be done in terms of more margin improvement versus the Brokerage segment?
Douglas K. Howell - Arthur J. Gallagher & Co.: Well, I wouldn't say versus the Brokerage segment just by the sheer size differential but there is opportunity there. There's still lots of opportunities for us and I'm glad that you remember listening to our Chief Service Officer talk in March to the group. There's opportunities still on our Brokerage side too.
Michael Zaremski - Credit Suisse: Okay. Thank you very much.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thanks, Mike.
Operator: Our next question comes from Mark Hughes of SunTrust. Please proceed with your question.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: You see in the Risk Management business, any sign of inflation within the workers' comp business?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Inflation in what, Mark?
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: Just loss cost?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Oh yeah. I mean, a huge part of workers' compensation is medical. So you're going to constantly fight that battle and an awful large part of the cap business is medical only. So there's – that's why the managed care techniques are so important. That's why the purchase of pharmaceuticals and how you do that and manage that is so important. It's why getting people back to work is so important because there's huge inflation in that and add wage inflation to it, there's natural inflation there as well.
Douglas K. Howell - Arthur J. Gallagher & Co.: And you realize though that that's not technically Gallagher Bassett's cost, that's the self-insured or carriers that we provide to claim service to. But that's why they come to Gallagher Bassett because they realize, you've got this undying inflation that's going on in medical costs. So what are the ways to leverage our scale, our knowledge, our capabilities to try to bend that curve a little bit.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: Any sign of inflection or any sort of acceleration lately?
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: No.
Douglas K. Howell - Arthur J. Gallagher & Co.: No, I don't think so, it's pretty steady.
Mark Douglas Hughes - SunTrust Robinson Humphrey, Inc.: Thank you.
Douglas K. Howell - Arthur J. Gallagher & Co.: All right.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thank you, Mark. Omer, anymore?
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Pat Gallagher for closing remarks.
J. Patrick Gallagher, Jr. - Arthur J. Gallagher & Co.: Thank you very much. Well, as you heard today, we had a great first quarter and I'd like to personally thank all of our employees across the globe for their hard work and our clients for their continued support. 2018 should be another great year for Gallagher as we execute on our value creation strategy. We will grow organically. We will grow through mergers and acquisitions. We will constantly work to improve our quality and productivity, and every day we live and promote our unique culture. Thank you for being with us this afternoon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.